Operator: Good day and thank you for standing by. Welcome to the 111, Inc. Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Stephen Kilmer. Please go ahead.
Stephen Kilmer: Thank you, operator. Hello, everyone. Thank you for joining us today for 111's Third Quarter 2021 Conference Call. On the call today from 111 are Dr. Gang Yu, Co-Founder and Chief Executive -- sorry, and Executive Chairman; Mr. Junling Liu, Co-Founder, Chairman and CEO; Mr. Luke Chen, CFO of our Major Subsidiary; Mr. Harvey Wangg, COO; Tiffany ZhuGe, SVP of Investor Relations and Business Development; Carter Hung, Finance Director; and Monica Mu, Investor Relations Director. As a reminder, today's conference call is being broadcast live via webcast. In addition, a replay will be available on our website following the call. The Company's earnings Press Release was distributed earlier today and together with our earnings presentation are available on the Company's IR website at ir.111.com.cn. Before we get started, let me remind you that this call may contain forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known and unknown risks, uncertainties and other factors, all of which could cause actual results to differ materially. For more information about these risks, please refer to the Company's filings with the SEC. 111 does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required applicable law. Please note that all numbers are in RMBand all comparisons refer to year-over-year comparisons, unless otherwise stated. Please also refer to our earnings press release for detailed information of our comparative financial performance on a year-over-year basis. With that, I'll now turn the call over to our CEO, Junling Liu.
Junling Liu: Good morning, and good evening, everyone. Thank you for joining our 2021 third quarter earnings call. Before delving into performance, I would like to talk briefly about the regulatory environment. Next, I'll give a short summary of our business. For those who are new to our story, I will then cover our recent operational performance before handing the call over to Luke to discuss the financials. We will conclude our prepared remarks with guidance for Q4 2021, after which we will open up the call for Q&A. We believe that current policies will continue to provide tailwinds to the health care industry and to our company. In 2016, President Xi announced the Healthy China 2030 initiative that emphasized public health as a precondition to future economic and social development. This initiative is based on four core principles. First, put health care at the forefront of national development strategy; second, encourage innovation; third, develop new methods of care to focus on both prevention and the cure and the combined Chinese and Western medicine; and fourth, ensure that rural areas of the country are given equal access to health care. In the latest five-year e-commerce development plan, the Ministry of Commerce has once again reinforced the importance of health care as a national priority and provided a blueprint for the future of China's health care industry, including telehealth services such as virtual registration, online consultation and patient care management. In addition, the government is encouraging the integration of online and off-line channels as well as the development of B2B platforms with solutions that help solve the pain point of the health care industry. We're well positioned in the health care industry as our platforms are in alignment with the blueprint for the future of China's health care system. In addition, recently proposed policies aimed at curbing monopolistic and anticompetitive practices will handle efforts by large companies to form close-the-loop ecosystems that block out competition. Large platforms will become more open, leveling the playing field for all players, including 111. New policies could also unlock new opportunities for 111. For example, key challenge that new policies seek to tackle is a lack of information symmetry within the health care industry, which can lead to health care decisions being made when only a portion of the patient's information is available. This push to integrate data between online and offline health care businesses as well as new compliance requirements for the certification of doctors and patients on virtual platforms will require innovative solutions, a void that we are well positioned to fill. 111 has been on the mission to transform and advance the health care services industry in China by leveraging technology and the power over the Internet to connect patients with medicines and health care services. Our ecosystem seamlessly integrates supply, demand and data to provide products and services to patients when and where they need the most. Our value proposition solves a key problem for the health care industry, where decisions are made with incomplete patient data. Our patient-centric care platform directly connects patients with product and service providers and is enabled by three unique technology platforms, 1 Pharmacy, which is currently one of the largest online retail pharmacies in China, and it was also one of the first entities to receive an online pharmacy license. 1 Clinic, which provides consumers with a merit of cost-effective health care services, including e-consultations and adopt patient management services over the web. And 1 Medicine, a one-stop shop for pharmacies. 111 also uniquely delivers a holistic health care platform that integrates medicine with health care services benefits to all parties within the broader health care ecosystem of pharmaceutical companies, doctors, health care providers and patients. We are a differentiated company because we offer cohesive on-line and off-line solutions unlike traditional B2B players that only distribute products across their service area, our S2B2C model provides tools that enables businesses to achieve their goals. For pharmacies, we can help them operate more efficiently, train employees, expand into online channels, attract and retain customers and integrate data and service across their online and off-line channels. For pharmaceutical companies, we're a commercialization partner that can help sell their products outside of the hospital systems, while providing services such as data analytics, theaters education and the patient feedback. For doctors and patients, we provide a telehealth platform that improves the patient care experience. Our competitive advantage is demonstrated by a vast network of health care players. We can connect pharmaceutical companies to over 65% of China's retail pharmacies nationwide and connect patients to over 20,000 doctors with expertise in chronic diseases such as diabetes, neurology, dermatology, et cetera. Moving on to recent performance. We had another strong quarter with net revenue increasing 42% year-over-year to RMB3.3 billion, marking the 13th consecutive quarter of year-over-year growth since our IPO. The B2B segment remains the core part of our revenue and continues to deliver impressive results, accounting for RMB3.2 billion of total revenue, up 46% year-over-year. The market continues to show strong demand for our diverse portfolio of service offerings. And overall service revenue grew 106% year-over-year with B2B service revenues totaling RMB16.1 million, representing a 336% year-over-year increase. Non-GAAP net loss as a percentage of net revenues decreased from 4.1% in the third quarter of 2020 to 3.8% in this quarter. Net loss for Q3 2021 was primarily attributed to an increase in R&D and technology expenses and expenses attributed to the expansion of our fulfillment center capacity. We expect these expenses to grow at a slower pace going forward. Revenue for the B2C segment totaled RMB124 million, a 23% decrease from Q3 2020. The B2C segment remains an important pillar of our patient-centric mission. We are pivoting the B2C towards profitable and positive margin contribution. To that end, we saw a managed revenue slowdown in the last few quarters. We'll continue to invest in new initiatives in our B2C business segment, and we'll report on this further going forward. In addition to strong top line growth, our gross margins grew twice as fast as our revenue in the third quarter. Gross margins grew by 85% year-over-year. And as a percentage of revenue, our gross margins improved to 5%. We're especially pleased with the margin improvement for our core business, which grew 145% from Q3 2020. As a percentage of revenue, the gross margins for the B2B segment grew from 3.6% in Q1 to 3.8% in Q2 to 4.4% in Q3. As mentioned in our Q2 call, we are laser focused on margin improvement, and this is just the beginning. As our business continues to grow, we will realize further benefits from the economies of scale, such as steeper discounts and cross-selling our technology and service offerings. We will also continue to optimize product categories, improve supply chain and increase efficiency. For example, using our proprietary technology, we have identified areas of pricing inefficiency and made appropriate adjustments. We have also improved our product selection as compared to last quarter. We almost tripled the number of SKUs for products with higher margin profiles and we will strive to double that number over the next 12 months. In addition, the expansion of our service offerings will generate margin attractive revenue. Our efforts should allow us to double our margins, playing us on a clear path to profitability. As the health care industry in China maintains its path towards digitization, it is important that we continue to invest in a robust technology infrastructure for our 111 platform. To support this requirement, our technology expenses in Q3 totaled RMB56 million, a 155% increase year-over-year. On a quarter-over-quarter basis, technology expenses increased at a much more modest pace of 6%. We'll continue to improve upon our smart supply chain infrastructure. And in order to meet the growing demand for our products and services, we have more than doubled our fulfillment capacity since the beginning of the year. The additional capacity will position us for future growth by increasing the number of businesses, selling products through our platform and growing the number of partnerships with businesses looking to commercialize in China. In the third quarter, we expanded the number of direct sourcing partnerships with domestic and global pharmaceutical companies to over 400, up 33% from a year prior. Today, there are over 5,000 pharmaceutical companies globally, and we will look to form partnerships with at least 20% of these companies. 111 is an attractive partner for pharmaceutical companies because we can help them establish and manage an out-of-hospital channel that connect them with the majority of the retail pharmacies. Our value as a commercialization partner will continue to increase as we grow, enabling us to offer even more services to companies commercializing their products in China. We launched our 1 Health membership program in Q2, and I'm pleased to report that it continues to gain strong momentum with our customers. The 1 Health membership program allows members to pay an annual fee to unlock exclusive benefits. And in the third quarter, we have over 11,000 participating stores, exceeding our internal target of 10,000. With this program, we have also seen an increase in purchases amongst participating stores who are not only attracted to our vast selection and competitive prices, but also in having access to the valuable tools that we offer to help them better manage their businesses. Currently, over 2,000 stores are using our proprietary systems to help them manage inventory, optimize their procurement and product selection, improve customer experience through our CRM system and the product education to their customers and employees. Going forward, we will build upon the early momentum this program has achieved and continue to offer new products and technology solutions to help pharmacies improve their operations and build more robust businesses. Before I conclude, I want to spend a moment and touch on our ESG efforts. To date, we have provided approximately 400,000 free online consultations, including to patients in Henan Provence faced with severe flooding conditions. We have partnered with local hospitals to provide medical services for underserved populations. We have also continued to support areas experiencing coded outbreaks through PPE donations. As a company committed to helping people live in healthier lives yet is very much embedded in our core values. And going forward, we will continue to support our community and help realize our collective goal of a healthy China. Beyond these highlights, we'll continue to strengthen our team, develop new technology and improve our capabilities as our business grows. We're confident going into the balance of the year that our leading position in the health care services sector, along with industry tailwinds, position 111 well for continued growth as we transform medical services in China and ultimately, deliver excellent value to our shareholders. Finally, I would like to thank our shareholders for their continuing support. With that, I will hand the call to Luke to walk through our financial results. Thanks.
Luke Chen: Thank you, Jimmy. Moving to the financial section on Slide 18 you can see the details of the third quarter 2021 results from Slide 19 to 21 of our presentation. I would like to highlight a few key business and financial metrics and our focus on year-over-year comparisons. All numbers are in RMB unless otherwise stated. Total net revenues for the quarter grew 41.6% to RMB3.35 billion, which was within the range of our guidance. We already had two consecutive quarters with quarterly net revenues exceeding $3 billion mark, which will place us into $10 billion revenue clubs this year. Our B2B segment revenue grew 46.3% to RMB3.2 billion, reaching a new record high for segment revenue in the quarter. Our B2C segment revenue was down 22.9% to $124 million year-over-year. We expect this downward trend will be reversed as we launched several initiatives to accelerate the growth of this segment. Our B2B gross margin was 4.4%, up from 2.6%, while our B2C gross margin remained stable at around 20%. The improvement in gross margin of our B2B segment reflects our ability to continuously improve the margin while maintaining substantial top line growth. Overall, our gross profit grew by 80.46% to $166.1 million, and the combined gross margin was 5%, up from 3.8% a year ago. Total operating expenses for the quarter were up 61% to $341.4 million. As a percentage of net revenue, total operating expenses for Q3 2021 accounted for 10.2% compared to 9% in the same quarter last year. Fulfillment expenses as a percentage of net revenue for the quarter was 3%, up from 2.5% in the same quarter last year. This was mainly attributable to costs associated with upgrading and expanding our existing facility to support our growth. As these expanded facilities reached full capacity, we expect the fulfillment expenses to decrease. Sales and marketing expenses as a percentage of net revenue for Q3 2021 was 3.9%, down from 4.4% in the same quarter last year. Excluding the share-based compensation expenses, G&A expenses as a percentage of net revenue were 1% as compared to 0.9% in the same quarter last year. Technology expenses accounted for 1.7% of net revenue, up from 0.9% in the same quarter of last year. This was primarily driven by an increase in the number of personnel and IND and IT teams. We believe that continuing to invest in our team and technology and service offerings in the area of digital health, big data and smart supply chain will strengthen our market-leading position. As a result, non-GAAP net loss in Q3 2021 was $136.3 million as compared to RMB97 million in the same quarter last year, which accounted for 3.8% of net revenue, down from 4.1% a year ago. Non-GAAP net loss attributable to ordinary shareholders was RMB230.4 million compared to $94.4 million in the same quarter of last year. As a percentage of net revenue, non-GAAP net loss attributable to ordinary shareholders increased to 6.4% in the quarter from 4% in the same quarter last year. The increase was mainly caused by accretion for probable redemption of redeemable non-controlling interest in the future. A quick note on our cash position as of September 30, 2021, we had cash and cash equivalents, restricted cash and short-term investment of RMB1.1 billion. As to the guidance for the fourth quarter 2021 on Slide 23, the Company expects total net revenue to be between RMB3.44 billion and RMB3.7 billion, representing a year-over-year growth of approximately 30% to 40%. In addition to grow our top line, we are laser-focused on growing our margins. We expect the trend of margin growth outpacing revenue growth to continue as we're keeping -- making strides towards becoming profitable. It should be noted that this outlook is based on current market conditions and reflects the Company's current and preliminary estimates of the market and operating conditions as well as consumer demand, which are subject to change. Please refer to Slide 25 to 27 of the appendix sections of our selected financial statements. Operator, we are now ready to begin the Q&A session.
Operator:  Your first question comes from the line of Xipeng Feng of CICC. Please ask your question.
Xipeng Feng: This is Xipeng from CICC, and thank you for taking my question, and congratulations on the Company progress.
Junling Liu: Your voice is very low. We cannot hear you clearly.
Xipeng Feng: Sorry for that. Can you hear me now?
Luke Chen: Much better. Yes.
Xipeng Feng: That's fine. Okay. I have two questions actually. And my first question is about the policy. As you may notice, the National Health Commission of China has just released a draft document detailing the regulations for online medical services. So could you please share some more colors on the impact of this policy or document both to the industry or to the Company? And my second question is as the B2B segment has delivered a strong growth in the past several quarters. So what's the reason behind it? And will the B2B segment maintain the growth momentum in the future?
Junling Liu: Thank you, Xipeng, for the question. I'll take on the first question about the policy. I spent a little time in my speech talking about policy. I had some keywords like Healthy China 2030, health has become a national priority and other keywords include online plus offline and the recent MOFCOM policy clearly stated supporting B2B Internet players and the integration of digitization of finance of logistics, warehouses, et cetera. And I think overall, those policies are all tailwinds and it's all very good for the industry and also very good for 111. And I noticed you're referring to the latest consultation paper. It's not a policy yet. And our interpretation, and it's not a final policy, it's -- at the moment, we're still guessing how the final document is going to be. But as a first read, and obviously, it is going to be very clear that digitization is the future. And Internet is going to play a key role in the overall health care industry. However, there has to be a strict compliance. And that kind of sealed the position of digitization in the industry. And we actually embrace that policy change. And I think with the much more stricter compliance, they are cause for innovative solutions, and 111 is very well positioned in that space, not to even talk about, we have always had a very high standard when it comes to compliance.
Luke Chen: Yes, Xipeng, I will take the question regarding B2B and B2B revenue has reached $3.2 billion in Q3 of 2021. Furthermore, which is even more important is that between margin growth rate is much faster than our revenue growth rate. I think which is -- the margin growth rate is 3.15 times of our revenue growth rates. So we are very excited to see our coal business. This is a B2B business. It's getting more and more healthy. We will continue to strengthen our competence on our B2C model especially on the S side, as we are creating value for our upstream and downstream partners and customers, we are offering more services to these customers and partners. So, we are getting more services revenue from this customer and partners, which you can see in our financial report. So, our S to B2C model it's getting robust. We are confident that we will maintain a fast revenue growth rate. And meanwhile, with margin growth rate even faster than our revenue growth. Thank you.
Xipeng Feng: Okay. That's very clear. And congratulations again on the Company progress. Thanks.
Junling Liu: Thanks, Xipeng.
Operator: Your next question comes from the line of Zoe Bian of Citi. Please ask your question.
Zoe Bian: Management, this is Zoe Bian from Citi, and congrats on the strong growth of 111 again this quarter and thank you for taking my question. I have three questions. The first is for the collaboration with pharmaceutical companies. Can you share any updates on the number of pharmas you work with and any new forms of collaboration? Could you give us a few examples of digital marketing and relative treatment? The second is, can you share more updates on the One Health member program? How do you differentiate your services to the members versus other pharmacies? And the third one is when do you expect to breakeven?
Luke Chen: Let me take the first question. You might notice that we increased our sourcing relationship with pharmaceutical companies to over 400. This is very important to us, very remarkable. This means that we're accelerating our sourcing upgrade our sourcing to the origin. For direct stores from three companies, you reduce all middle layers, only reduce our procurement costs, also improved the availability of our products. We're also forming various we call specialized internet hospital with pharmaceutical company. We have partnerships with Eli Lilly, Novartis, Pfizer, Bayer, Biogen many. We started this initiative only for last March, and now we have more than six specialized hospitals. Let's take the recent announcement we made for the partnership with a company with Chugai Pharma in Japan. This is -- 111 is the first e-commerce company in China are the so-called omni-channel commercialization relationship with Chugai Pharma. This partnership will allow cardiovascular patients to community access education materials regarding their diseases, their treatment options, effective disease management tools. We also improved patient quality of life, use cars and provide doctors with additional tools that manage better help patients. So, we have formed various partnerships with the different pharmaceutical companies aside from the short-term relationship.
Junling Liu: Okay, I'll address the 1 Health program, appreciate that question. And I think before I answer that 1 Health program, let's look at the marketplace. Today, in the pharmacy space, we have about 580,000 stores across the country. There are a few very big players. And if we look at all those big chains, they are all very centralized in terms of the organization, i.e., they have firm control of all those pharmacies that build their own chains, et cetera. 111 is trying to build a new model with a federation. So with our model, we're going to have a lot more stores joining our platform. With digital franchising, the smaller guys can enjoy the same benefits like the big guys in terms of procurement, in terms of access to good assortment, in terms of access to systems and to digital technology, et cetera. Now if you look at the programs we have made today, we have already covered more than 28 provinces. And there are more than 300 medium to small chains joining us, and we have 11,000 stores. Obviously, our objective is to have more and more stores joining us. And because this is a federation model, there is very little barrier. And what we have been to do is to continue to leverage our digital technology to help those pharmacies to improve their competitiveness especially when it comes to the systems, the procurement, and also managing their assortment and the prices, et cetera. We are looking forward to providing more updates in future quarters.
Luke Chen: Yes. So it's Luke. Let me answer your third question on the breakeven time line. I think all our investors are sales are looking at us when we go in to make profit. And I believe we are now in a much clearer position to project that with the scale we built up and the margin improvement. We expect to be profitable in 12 months' time. And our confidence level of achieving this target is pretty high. So you look at our margin now it's like 5%, and it will continue to grow to 6% even 7% and even higher. So with that, together with the scale we built up, and we're introducing more higher-margin product into our portfolio. Of course, we'll continue to build a lean organization and optimize our investments. So we think this gain profitable is very close in the quarter and in the near future.
Zoe Bian: Thanks a lot, management. We're looking forward to the business development in the future. Thanks again.
Luke Chen: Thank you, Zoe.
Operator: Your next question comes from the line of . Please ask your question.
Unidentified Analyst: Kudos to you for your performance in the quarter. I have four questions, if you don't mind. The first question is that I see that your company has continued to strengthen the technology capabilities. So in what areas do you envisage your various entry? Second question, regarding your revenue from services rising rapidly. To what factors can this be attributed? And how will you maintain such growth momentum? A third question is regarding the market sectors you're seeking to enter. Clearly, what are their sizes? And what's the outlook as it relates to these market sectors. And the final question is I'd like to ask about the status on your star market IPO cost.
Junling Liu: Okay. I think, gang, can you address the first question about the technology front.
Dr. Gang Yu: Let me address the service revenue part. I didn't hear the first question. Let me adjust the service revenue. As we were happy to see that our service increased rightly the continuity increase. And the increase of the term revenue reflects the value creation by our platform and by our technology capabilities, many come from the following areas, I think may see. First is service fee for marketplace sellers on our -- the three platforms: 1 Pharmacy, 1 Clinic, 1 Medicine, okay? The second part is service for our enabling services to pharmacies such as SaaS-based service, CRM, e-prescription services and others. The third part is the services for our enabling services to come companies, such as we mentioned about digital marketing, patient education, patient management, all those services. And the fourth part is the supply chain services for ecosystem relationship. We have several very important projects such  management will supply to our ecosystem partners. Go ahead, Junling.
Junling Liu: Okay. So I'll cover the first question and the third question. So with regards to the technology investment we have made. And obviously, it was 155% increase compared same period of last year. This is an area, which we believe we can establish a competitive advantage. So, our technology is really structured in a way to address the challenges that are faced by like pharma companies like pharmacies in terms of supply chain and to doctors and to patients. So we believe that investment in this area will give us the necessary advantage. I'll give you an example in our One Health program. We have a pretty big team in terms of technology to really code every day. And today, we have already digitally connected over -- or close to 3 million consumers. And those consumers have various disease path, and they have a very -- we have a very clear profile and we have digital tools to interact with them. In the past, those pharmacies were never in that position. So we believe the continued investment in this area will yield good results. And if you look at what we have achieved so far, we've already brought 19 patents in the areas of particular health, big data analytics and in our supply chain. We have more than 30 proprietary systems to really power our back-end operations. When it comes to your question two, the size of the market, based on our intelligence today, they -- the farmer market is about RMB2 trillion. And by 2030, the startup hospital channel alone is going to account for more than RMB2 trillion. So we anticipate this is going to be one of the most attractive markets in the world. So with the aging population in the world, so this is going to be the space we're going to play in. We already laid a very solid foundation to position 111 as one of the key players in this space. And we define our space as the out-of-hospital care. So from a patient's perspective, they can actually to have a holistic care if they actually step out of the hospital, let's say, even if they are from a rural lower-tier city, even if they left home -- if they left the hospital, they go home, we're still in a position to help them. So we actually love the pharmacy space, given the coverage we have had, this is a clear advantage we have managed to build. So I am of the opinion that we're able to really redefine the supply-demand relationship with our platform. And obviously, there are many other initiatives. We have put in place so far. There's nothing material as yet, but I'm looking forward to providing updates moving forward in due course.
Luke Chen: Yes. Let me answer the question on the status of the star market IPO. The domestic IPO preparation is still in progress. Based on our internal assessment, actually, we are meeting all the requirements. However, there are new rules coming out by the stock market and we are evaluating. We're very optimistic about the China market to be further over now. There's news that the China stock market will adopt those retribution system versus approval system maybe next year, and we believe we should get ready for that. So we will keep The Street informed or posted according to the SEC rules.
Operator: Your last question comes from the line of Jessie Lu of HSBC.
Jessie Lu: Thank you for taking my question. This is Jesse from HSBC on behalf of Charlene. I have three questions, if I may. The first question is follow up on the gross margin of your B2B segment. We saw a very good improvement from last quarter. And you just mentioned that the margin can grow from 5% to 7% or even higher. I'm wondering if we think in a longer time here, say, in 10 years, how high would be the B2B segment margin could achieve? And my second question is on your fulfillment capacity because I think it has been growing at a faster rate than previously guided in your Q2 results, which is very impressive. So I was wondering in terms of time line and your target, what is your end goal for these fulfillment capacity enhancement? And when will you finish and in terms of fulfillment centers, will you be building more and will be the CapEx expectation on that. And last but not least, the question is on your pharmacy clients because you mentioned you're already connected to 75% of overall pharmacies in China. So can you share with us your strategy in terms of for the enhancing relationship with existing pharmacies and then how to reach out to the other 35% pharmacies.
Luke Chen: Okay. Jessie, I will take the first question regarding B2B margin. So we are excited to see in Q3, our B2B margin is year-over-year growth has reached 145%, which is the 3.15x faster than our revenue growth, which means our B2B business is getting more and more healthy. And the margin improvement B2B comes from following actions. First is introduction of more high-margin products. Internally, we call them gold-label products. And secondly, we are seeing a more effective use of our price intelligence system, the PIS system to optimize our pricing. And as Dr. Gang you just mentioned, we have more direct sourcing over 400-plus pharmaceutical companies, and we're upgrading our sourcing towards the source. And last, we are seeing improvement at our continuous improvement on our supply chain efficiency. Talking about next step, with the loss of the foreign phases of our S2 B2C, we are creating more value for our upstream and downstream partners and customers. So we are confident that there will be enough room for us to further improve margin. We definitely -- we can see even margin growth rate in the next quarters should be faster than our revenue growth rate. And our B2B business should be getting more and more healthy.
Dr. Gang Yu: Let me take the fulfillment center capacity issue, a question. In the past, we have observed that the fulfillment capacity has been a very important bottleneck of our growth. So we are -- as you have seen, that we have expanded our capacity and the throughput during the past year. And we believe that the optimized supply chain and is responding back-end systems from our core confidence. So you certainly ensure our first-rate experience, quality of the products we offer and the rapid turn of our inventory and positive cash flow. We believe these are all very, very important. So the fulfillment center capacity throughput is very critical part of our supply chain. So the lack of it will directly impact our operations in our growth. So we are continuing to optimize and automate our supply chain, while expanding capacity. Not only expanding our capacity to our fulfillment centers, we are also using -- we're also creating new business models. In the future, we'll announce that some new business models where you use the capacities of our partners. And these all different new initiatives will help us to gain not only capacity, but also raise the barrier of entry.
Junling Liu: Jessie, I want to take on the third question, I appreciate it. That's a great question, by the way. When it comes to the pharmacy customers, obviously, the first few years, we made it an operational imperative to really cover as many pharmacies as possible until we get to the 50% market coverage. And obviously, we have successfully implemented that -- achieved that mission and now, we cover approximately 65% over the market with 370,000 pharmacies also. So that is really mission accomplished. And moving forward, that will not be our first priority anymore. Instead, we will be continuing to really grow our loyalty, grow our share of wallet. And of course, we're going to continue to add more customers, sign up pharmacists that we have been servicing. We just spoke about the 1 Health. That is an example, one of the initiatives we offered to bring in value-added services to those pharmacies who are already on our platform. And of course, we still welcome new customers to join in the future. Thank you.
Jessie Lu: Thank you. That is very clear. Looking forward to hearing from you in the next quarter.
Operator: As there are no further questions, I'd now like to turn the call back over to Mr. Stephen Kilmer for closing remarks.
Stephen Kilmer: Thank you, operator. In closing, on behalf of the entire 111 management team, we would like to thank you for your interest and participation in today's call. If you require any further information or have any interest in visiting 111 in China, please let us know. Thank you for joining us today. This concludes the call.
Operator: You may now disconnect your lines. Thank you.